Operator: Good day, everyone, and welcome to the National Instruments Fourth Quarter 2017 Earnings Conference Call. Today's call is being recorded. You may refer to your press packet for the replay, dial-in numbers and passcode. With us today are David Hugley, General Counsel and Secretary; Alex Davern, President and CEO; Karen Rapp, CFO; and Eric Starkloff, Executive Vice President of Global Sales and Marketing. For opening remarks, I'd like to turn the call over to Mr. David Hugley, General Counsel and Secretary. Please go ahead, sir.
David Hugley: Good afternoon. During the course of this conference call, we shall make forward-looking statements, including statements regarding future growth and profitability, future restructuring charges, estimated tax rate and our guidance for revenue and earnings per share for the first quarter. We wish to caution you that such statements are just predictions and that actual events or results may differ materially. We refer you to the documents the company files regularly with the Securities and Exchange Commission, including the company's annual report on Form 10-K filed February 16, 2017, and our quarterly report on Form 10-Q filed on October 31, 2017. These documents contain and identify important factors that could cause our actual results to differ materially from those contained in our forward-looking statements. With that, I will now turn it over to the Chief Financial Officer of National Instruments Corporation, Karen Rapp.
Karen Rapp: Thank you, David. Good afternoon everyone, and thank you for joining our fourth quarter 2017 earnings conference call. Today, I will begin with an update on our financial performance; then Eric Starkloff, Executive Vice President of Global Sales and Marketing, will share insights into our platform success; and Alex Davern, our President and CEO, will share his reflections on the business and outlook for 2018. Our key messages today are record revenue, operating profit and cash flow from operations, highest quarterly non-GAAP operating margin in 20 years, and significant progress toward our operating model. I am really proud of our strong performance this quarter and for the year. We believe our record revenue and operating income are a testament to the value we offer our customers and the dedication we have to our business model. For the full year 2017, GAAP revenue was a record $1.29 billion, up 5% over 2016. Our 2017 non-GAAP gross margin was 75%. For the full year, non-GAAP net income was a $160 million, up 33% year-over-year with non-GAAP operating expenses nearly flat year-over-year at $193 million. A reconciliation of our GAAP and non-GAAP results is included in our earnings press release. For Q4, our revenue was $350 million an all-time record. In Q4, revenue grew 6.2% year-over-year. Non-GAAP gross margin in Q4 was 76.2%, up 40 basis points year-over-year. Our non-GAAP operating margin was 21%, increasing 280 basis points from a year ago. Due to the new U.S. corporate tax loss, in Q4 we recorded a net income tax charge of $70 million. As a result, our GAAP net loss was $24 million. The adjustments related to the new tax laws are not included in our non-GAAP results. Q4 non-GAAP net income was $56 million, or $0.43 per share, which represents a 43% year-over-year increase. Moving to the balance sheet and capital management, we ended the quarter with cash and short-term investments of $412 million at December 31, 2017. Our capital allocation strategy will remain the same. During the quarter, we paid $27 million in dividends and the NI Board of Directors has approved a dividend of $0.23 per share for Q1, an increase of 10% year-over-year. Our effective non-GAAP corporate tax rate for 2017 was 21%. And looking forward based on our current understanding of the new tax laws, we estimated 2018 tax rate of 17% subject to the risk of adjustments. The global PMI continue to be strong through Q4 2017 indicative of a supportive growth environment, industries such as semiconductor and automotive delivered strong growth, which also contributed to our results this past year. Now looking at Q4 orders, for Q4 the value of our total orders was up 5% year-over-year in U.S. dollars. Included in that total is $4.4 million in orders received from our largest customer as compared to $2.4 million in Q4 of 2016. Orders with a value below $20,000 grew 3% year-over-year in the fourth quarter. As an indicator of the strength of our systems business, we saw all orders over $20,000, up 7% year-over-year. Now, I would like to make some forward-looking statements. We were optimistic about 2018 based on our market position, the improved PMI and the current trend in exchange rates. In Q1, we want to continue to deliver on our profit goals and would also like to increase our backlog to improve efficiency and visibility. As a result, we currently expect total revenue in Q1 2018 to be in the range of $305 million to $335 million. We expect GAAP fully diluted earnings per share will be in the range of $0.11 to $0.25 for Q1, with non-GAAP fully diluted earnings per share expected to be in the range of $0.19 to $0.33. For these forward-looking statements, I must caution you that our actual revenues, expenses and earnings could be negatively affected by numerous factors, such as any weakness in global economy, fluctuation in revenue from our largest customer, foreign exchange fluctuations, expense overruns, manufacturing inefficiencies, adverse effect of price changes and effective tax rates. In summary, I am proud of the progress we have made in improving our operating performance this year we delivered to our financial goals and remain committed to further progress in 2018. I want to thank our employees for executing on our key business strategy. This focus has delivered significant benefit to our financial results. Our employees drive the culture and the value of our brand, which has been and continues to be a major differentiator in our space. Together, we will continue to focus on our growth and profitability goals into 2018. We look forward to seeing you at the Morgan Stanley Technology Conference on February 26th in San Francisco. And I will now turn it over to Eric Starkloff.
Eric Starkloff: Thank you, Karen, and good afternoon. In Q4, we were very pleased to end the year strong with record revenue and operating income. Now, I'd like to provide some more commentary on our performance for the full year of 2017 starting with our products. In 2017, we saw revenue growth across our platform. PXI and modular instrument products had double-digit revenue growth and record revenue for full year. We believe our modular approach continues to position us well to capitalize on the test needs from our customers emerging challenges, particularly in semiconductor, automotive, aerospace and research industries. As technology and financial pressures force reduced time to market are open platform and the ecosystem that supports it help to test teams in these industries, meet their objectives with lower incremental cost. Turning to software, in 2017, we saw strong growth in new software seats and enterprise agreement, increases in software renewals and double-digit growth in online software sales. In 2017, we released significant enhancements to our software platform including the launch of LabVIEW NXG and introductions of numerous complimentary products that provide a higher level starting point to streamline our customers’ jobs. Through new software capability and the focus of our sales teams, we have been able to engage at more levels within our customers’ organizations from engineers improving product design and tests to executives driving cost and time to market goals. For example, SystemLink, which we announced at NIWeek 2017, delivers value and in enterprise level, lowering system maintenance costs through remote software deployment, data management and the diagnostics of distributed systems. In2018, we will continue to expand the capabilities of LabVIEW and our entire software platform. Just last week, we released the newest version of LabVIEW NXG covering more of our automated test customers needs including additional support for NI hardware, new ways to visualize test systems and data and improved software distribution. At NIWeek 2018, we will release new hardware and software to expand our platform and we will demonstrate these new products through customer examples. Now looking at regional results. We saw 2017 revenue growth in all three regions and continued strong growth particularly in our Asia Pacific region. I want to recognize the efforts of our sales and support teams globally for the strong finish in 2017. Through focused effort in delivering systems, you played a major role in contributing to our growth and profitability for the year. Now shifting to industry performance, I'll start with semiconductor. Our business in semiconductor performed very well with very strong growth from our semiconductor test system. Disruptive technologies like 5G, the Internet of Things and autonomous vehicles are increasing the complexity and time to market pressures of our semiconductor devices. With trial 5G service rolling out this February at the Winter Olympics in Korea and initial commercial deployments in the U.S. in late 2018, we expect this pressure will accelerate. As we continue to work with many of the leading companies making 5G a reality, our software based modular approach enables us to add new capability to our platform. So our semiconductor customers can keep up with these trends. For example, our latest PXI source measuring unit increases channel density by fixed times increasing the number of parallel measurements using the same space and power. For semiconductor manufacturers, this creates free capacity by increasing throughput and helping them to lower their cost of test. Turning to automotive, we saw double-digit revenue growth in 2017. Increased expectations of safety, efficiency and connectivity are driving new technology into vehicles. NI customers likes Audi, Valeo and ALTRANS are demonstrating how the NI platform can be used to validate and test new technologies that will enable advanced driver assistance systems and autonomous driving. Sensor fusion, for example, will be used to help vehicles make decisions by bringing together inputs from multiple sensors like cameras, RADAR and LIDAR to better describe the operating environment. By using the NI platform to simulate the real world input into these sensors, engineers can stimulate and test multiple drive scenarios in the lab to get reliable and repeatable results. This test data informs design decisions and helps to catch errors before moving into more expensive and time consuming physical testing. With software controlling the powertrain, breaking, acceleration, charging and hundreds of body and interior subsystems being able to validate software control before production is critical to meeting the deadlines and budgets of bringing new vehicles to market. In 2017, our aerospace business was essentially flat in a market that was challenged from budget delays and uncertainty in U.S. government spending. In areas like this where budgets are tight, the NI platform is increasingly differentiated. Our high productivity software combined with modular and flexible hardware helps our aerospace customers meet critical budget and timeline goals. Our success in each of these industries continues to be driven by the NI platform and the strong ecosystem of partners, suppliers and developers. We are strengthening that ecosystem to enable adoption of our platform in these target areas. By immersing ourselves in our customers need and focusing our efforts, we are providing unique value leading to shared success with our customers. I’ll now turn it over to Alex Davern.
Alex Davern: Thank you Eric and Karen. As I reflect on 2017, I'm proud of what we accomplished. Stated simply, we set goals to drive revenue growth and to make significant progress towards our operating model and through discipline and focus we met those goals. Practically, this meant dedication and hard work at all levels of the company. And I want to thank our employees and our partners for embracing of this growth mindset. Some of these changes have challenged us to think and behave differently and we are seeing the payoff. Based on the solid foundation within our organization, I believe we have a great opportunity to continue to drive both growth and improved profitability in 2018. After 24 years at NI, it's still inspiring to me to see how our customers use our platform to outperform their competition. The competitive advantage they gain from standardizing on our platform continues to position us for growth. For decades, our integrated software and modular hardware has helped to engineers to solve the most challenging technical problems. By continually investing in our platform, we've created a deep portfolio of technology that enables our large installed base to leverage 40 plus years of product innovation. As Eric shared, the release of LabVIEW NXG was a big milestone for our R&D teams and adds value to both new and existing users. For example, long-time LabVIEW user and Test Software Architect at Samsung Brian Hoover said, “LabVIEW NXG makes it possible for my team, NI to enjoy our jobs because I can focus on the problem instead of the tool”. As we continue to focus on areas where our platform provides the most differentiation, our software-defined approach will remain a key enabler and will help to address more of our customer’s challenges. In 2018, I look forward to seeing our customers achieved first to market wins like early commercial 5G deployments and public operation of autonomous vehicles, both powered by cutting-edge silicon. Our platform investments of wireless communication, software-defined instrumentation and other enabling technologies have helped our customers to achieve early wins. As these technologies scale, our lead user program gives us access to key decision makers at our industry leading accounts. This access combined with our highly focused sales and marketing channel gives NI a strong position within our semiconductor, automotive, aerospace and research accounts. I'm very excited about NIWeek 2018 and I want to encourage you to attend both NIWeek and our investor conference in May along with tangible examples of the value of our platform and broad access to NI’s customers and partners. We will also provide more specifics on the evolution of our strategy. The leadership team and our employees are starting 2018 very focused. We are focused on delivering more value to our customers where our portfolio is most differentiated. We are focused in those industries and application areas where our brand is strong. This focus should position us well to drive revenue growth in 2018, make progress towards our profitability goals and enable growth for our ecosystem of partners. We set a goal in 2017 of bridging half of the gap between our operating performance in 2016 and our non-GAAP operating margin target of 18%. We achieved that goal. Our goal in 2018 is to complete that journey. As stated on our investor conference at NIWeek 2017, our goal is to average 80% non-GAAP operating income through the cycle. And at NI 2018 in May, we will update you on our operating model plans for 2019. I want to close by thanking our employees for making significant progress towards our operating model in 2017. Through your focus and execution, we delivered several records including the highest non-GAAP annual net income in the company’s history. By aligning our resources to solve the needs of our customers that benefit most from our highly differentiated software defined-platform, we optimized our business and built a strong foundation for growth. We started 2018 aligned and focus on our highest value opportunities and I look forward to working with you to accomplish our goals. We will now open for your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Vijay Bhagavath of Deutsche Bank. Your line is now open.
Vijay Bhagavath: Yeah, thanks. Good afternoon Karen and Alex. Hi.
Alex Davern: Hey, Vijay. How are you?
Karen Rapp: How are you?
Vijay Bhagavath: Yeah, hi. Hey, as we head into this New Year and also into 2019, top-line growth kind of comes as one of the most important asks of questions from our clients. So I want to get your view on where do you see the most conviction in terms of new orders and new demand perhaps new spending budgets so that that helps us kind of model and calibrate all of the growth opportunities you have for this year. Thank you.
Alex Davern: Sure, Vijay. Thanks for your question. Obviously, we're very pleased to deliver record revenue and see an acceleration in revenue growth in 2017. And as you know as a company, our objectives have always been to balance that value a need for organic revenue growth with delivering industry-leading profitability. So we're pleased with the progress we made in 2017 on both of those fronts. Now looking forward, we obviously see some tailwinds that are benefits for our business as we look at the full year of 2018. Certainly, we've seen a stronger overall industrial economy. We've seen moves in currency markets that are in our favor. We see strong operational results in the areas. We focused our investments areas like semi, like 5G and like automotive. So we're very optimistic about the outlook for 2018. But as we look at Q1, our goal here will be to ensure we're hitting our profitability goals and that we're taking advantage of opportunity perhaps to raise some backlog and build some visibility for later in the years.
Vijay Bhagavath: Yeah, perfect. A quick follow-on for Karen would be on the margin targets. Any updates and thought process on heading towards the margin goals for this year?
Karen Rapp: Hi, Vijay. Yep, we are not changing the operating model that we talked about in NIWeek in May of 2017, so continuing to focus on the leverage model that we laid out and driving those goals as we stated at that time, so no change at this point.
Vijay Bhagavath: Okay.
Alex Davern: We’ll be happy to – 2019 at NIWeek in May.
Vijay Bhagavath: Okay, great. Thank you.
Operator: Thank you. Our next question comes from Patrick Newton of Stifel. Your line is now open.
Patrick Newton: Good afternoon Alex, Karen and Eric. I guess first on housekeeping side number of employees actually in the quarter and average orders size?
Karen Rapp: Hi, Patrick. We ended the year with about 7,400 people, 7,412 to be exact. It’s down almost 2% year-over-year. And average order size in Q4 was $6,100, up 5% year-over-year.
Patrick Newton: Great. And I guess, Karen, if I look at the midpoint of the revenue and EPS guidance from the March quarter, it would seem that you're forecasting OpEx to increase sequentially although lower than revenue. And then I would guess a step down in gross margin sequentially perhaps 100 [ph] basis points or more. So I guess am I kind of reading the tea leaves correctly? And then while you address the OpEx trends in Q1, could you also perhaps speak to what you're budgeting to for headcount trends in 2018?
Karen Rapp: Sure, Patrick. As we’re looking at the Q1 model, we've got a 7% growth built in at the midpoint of our guidance for Q1, which continues that growth trajectory that we saw coming out of Q4 2017. We're building in a headcount model that stays relatively flat for the year and aligning areas with the areas of growth for the company in 2018.
Patrick Newton: Okay. And then Eric, you spend quite a bit of time in the prepared remarks on software and progress that you've made in your platform especially with NXG launch last year. Can you remind us the percentage of revenue contribution coming from software currently?
Eric Starkloff: Yeah, let me comment on our software business overall. I mentioned it, as you said, in the prepared remarks we’re really pleased with the strong quarter and strong year for software. If I look at key indicators that we've shared before like seat growth, it was the best growth we've had in software seats in over five years, so really pleased with that. NXG was both a success so far and also a reason for us to engage our customer base both new customers that can come on to our software platform as well as existing customers and we can add value, so we sell strength in areas like renewals and areas like enterprise agreement that indicate good adoption from our existing customer base as well, so overall a really good quarter and a good year for software for 2017.
Patrick Newton: And the percentage of revenue coming from software?
Eric Starkloff: Overall, you know, software including services that go along with it is somewhere in the 20% range, Patrick, and that continues as we enter 2018.
Patrick Newton: Okay. And then just last one on 5G, we have had some competitors speak to near triple digit order growth in the 2017 timeframe off of a healthy but low base. You spoke to increase the pressure on semi customers and commercial rollouts that are on the horizon exiting 2018. So I'm curious if you could speak to whether you're seeing similar growth in orders for your 5G business. And are these orders longer-term in duration and perhaps contributing to your goal to raise backlog and visibility for later in the year?
Eric Starkloff: Yeah, let me comment on 5G a little bit of color and come to your question. So first of all as you know Patrick we have had a lot of success and we continue to monetize the research and improve the second part of 5G. I believe that that you'll be at Mobile World Congress in March. You'll see a lot of examples of that prototyping and research area. And that positioned us very well for what will ultimately be the larger opportunity which is in test systems. At this point in time, we're deeply engaged with lead users on these test systems. There is a lot of sort of unsolved technical challenges in how to test these 5G devices. And so that lead user work that we’re doing with you is very, very important. From a – and by the way I should say that our – we think our platform lends itself very, very well to that, the software content of our platform and the modularity of it at this point in evolving standard. Those are really important attributes and something that's changing pretty, pretty rapidly still at this point in time. As we look forward and to kind of characterizing the opportunity going forward, we think that 2018 will be a year where we start to see initial design wins in the testing of semiconductor devices and that the scale of that is going to be when it comes to sort of volume will be a few years off still when that becomes a more significant part of our revenue opportunity. And that’s not big – you’ve asked a question specifically about backlog, but that's not a big factor in that particular area.
Patrick Newton: Okay. That's helpful. And just last question will be on the – with the first drop of the 3GPP standards exiting the year and we have the release 15 coming up midyear. Have you seen any change in order flow or an increase in order flow post some of these standards releases or I guess add to the bigger one later this year?
Eric Starkloff: No, not at this time. I think our outlook remains consistent with what we said in the past.
Patrick Newton: Thank you for taking my questions. Good luck.
Eric Starkloff: Sure, thanks, Patrick.
Alex Davern: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Richard Eastman of Baird. Your line is now open.
Richard Eastman: Yes, good afternoon.
Alex Davern: Hey, Rick. How are you?
Eric Starkloff: How are you, Rick?
Richard Eastman: Good, good. Alex or maybe Karen, could you just breakdown there – the commentary was there was 7% growth in orders above 20,000. But I am curious was there any disparity between 20 to 100 and greater than a 100? Was there anything on the systems order side that’s positive or negative there?
Karen Rapp: Hi, Rick. This is Karen. There was significant growth in the orders over $100,000. So kind of a double-digit, look they are at 13%.
Richard Eastman: Okay.
Karen Rapp: So as we continue to shift towards a system solution and the customer focus that we have in the growth areas, we’re seeing that payoff in that space.
Richard Eastman: And that’s – and does the STS business fall in there? And also I am trying to think what else, what else is the obvious influence there, maybe STS? I don’t know if any of the automotive that you speak to? Any of that fall in there in the larger than 100,000 system side orders?
Eric Starkloff: Sure, Rick, this is Eric. Let me take a shot at that. So certainly the over 100 k is across a lot of different industries, certainly our STS business does fall into that category, but so to a lot of complex automotive test systems and other areas of our PXI modular instruments business, for example. I will just comment a little bit on semiconductor, just to put a little more color on that, because we highlighted that as a big area of success. And it’s a – as we have stated before, were used across the flows or that goes from characterization and validation applications all the way through people using our platform to build their own production systems to STS and we saw growth across all of that. Now to your question about 100 k, quite a few of those systems fall in that 100 k bucket, even in the characterization labs of an RF component. That’s certainly going to be a system that we fall into that that category. So it is becoming a more broad part of our let me call our systems business across different industries.
Richard Eastman: Okay. And what was the large customer revenue in the quarter? Is it kind of matched the order number?
Eric Starkloff: Sure, Rick. If I look at Q4 of 2017, it was about $5 million.
Richard Eastman: Okay, okay.
Eric Starkloff: And it was up roughly 3.5 a year ago.
Richard Eastman: Yep. And is there anything, you know, when we think about the large customer there and I think I have a general sense of the application. But how does – is there any visibility on 2018? It would seem maybe given the application there that that business again maybe runs flattish from a revenue standpoint? Or is there anything to get excited about that discrete customer piece of business?
Eric Starkloff: Well, you know, as we said we have a very good relationship with our customer in a broad set of applications. It is always tricky at this time of the year to know exactly how the revenue stream from that customer will come forward to much generally clear in April than it is in January.
Richard Eastman: Okay.
Eric Starkloff: But you know broad scale expectations, I don’t anticipate in having a significant impact on our overall rate of growth in 2018.
Richard Eastman: Okay, okay. And Alex, you had mentioned earlier about potentially building some backlog, your expectation was you could build some backlog in the first quarter. And I am kind of – I am looking at the mid point of your revenue guide, which is plus 7%. We had a 5% order number in the fourth quarter here kind of heading into the quarter. Is there any message there that orders in the first – in January, the first month of the year, maybe were had accelerated some such that you know we have some visibility on backlog, building backlog?
Alex Davern: Yeah, Eric certainly, my standard answered to that question. His point is that everything we know is contained in guidance. But when we look at the factors that influence our outcome those that are under our control, we feel really good about our position. Those that are external are certainly tending towards the positive. And so, when we look at the mid point of our guidance, it is for an improvement in revenue growth. Obviously, it went from Q3 to Q4 to Q1. The mid point of earnings is the 25% EPS increase or so year-over-year, which would continue – we saw in last year. So, we’re feeling pretty good about the business.
Richard Eastman: Okay.
Alex Davern: And, I think it’s prudent at this point in time to potentially be planning to increase our visibility as we move later into 2018. So we will talk more about that in April.
Richard Eastman: Okay, okay. And just one last thought here. The restructuring charges were a bit bigger here in the fourth quarter. And I think for the full year came in just a tick over $16 million. And so maybe the question around that is one, is there any savings you know hard savings number that we can think about realizing or capturing in 2018? And then also what does that restructured charge perhaps look like in 2018 versus what you put up for 2017?
Karen Rapp: Sure, Rick, I will take that. This is Karen. The goal of the business is to continue focusing on the areas that drive our growth in profitability. So we will always be looking at how to rebalance our resources throughout the year. We look at factors like attrition, performance management and as necessary some restructuring. That’s all baked into our Q1 guidance and the savings that we are receiving from the actions that took place in 2017 are all built into the operating model. And we will continue to execute to that operating model as we laid that out in May of 2017.
Richard Eastman: So the savings – the savings essentially get netted against the growth investments and we hope to stay kind of under 2% or stay within our operating model. That’s how you view that.
Karen Rapp: Correct.
Richard Eastman: Okay.
Karen Rapp: We’re rebalancing all the time.
Richard Eastman: Okay.
Alex Davern: Certainly that operating model obviously for 2017 delivered significant operating leverage and it implies significant operating leverage at mid to high single digit revenue growth through 2018. And we are glad to have bridge to half our gap in our operating profitability and we said our goal is to bridge the remainder of that gap in 2018.
Richard Eastman: Gotcha, okay. All right, thank you.
Alex Davern: Thanks very much, Rick.
Eric Starkloff: Thanks, Rick.
Richard Eastman: Sure.
Operator: Thank you. And ladies and gentlemen, this does conclude our question-and-answer session. I would now like to turn the call back over to management for closing remarks.
Alex Davern: Thank you very much for joining us today. Just reiterate an invitation to our investor conference at NIWeek in May. We look forward to seeing you there. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes today’s program. You may all disconnect. Everyone, have a great day.